Operator: Good morning and good evening. First of all, thank you all for joining this conference call. And now we will begin the conference of the Fiscal Year 2015 First Quarter Earnings Results by LG Display. This conference will start with a presentation, followed a division of Q&A session. [Operator Instructions] Now we shall commence the presentation on the fiscal year 2015 first quarter earnings results by LG Display.
Hee Yeon Kim: Welcome to LG Display first quarter year 2015 conference call. My name is Hee Yeon Kim, Head of IR Division. I would like to welcome everyone to our quarterly earnings conference call. I am joined by our IR staff as well as representative from market intelligence and TV and IT mobile marketing. K.Y. Co [ph] is Head of Market Intelligence Division. Sang Wong Choi [ph] is Head of IT Mobile Marketing Division. CH Kim is TV Marketing Division. Before we move on to the earnings results, please take a minute to read the disclaimer. I would like to review everyone that results are based on consolidated K-IFRS accounting standards and are unaudited. Next slide please. We have approximately one hour for this conference call. During the first part of the call, I would like to highlight our first quarter results, performance and second quarter outlook, which correspond to the slides available on our website. Afterwards we will take questions. Please do not hesitate to contact us after the call if you have further questions. Moving on to revenue and profit on the next slide. Revenue in the first quarter was KRW7 trillion, which was a decrease by 16% quarter on quarter and a growth by 26% Y-o-Y. Sequential revenue decrease was driven by seasonal shipment decline and sales mix change. Compared to previous years, TV shipment showed a relatively strong movement. And also due to the tough tablet demand situation, we have shifted our -- some of our existing capacity to produce IT products which are more profitable than tablets. Our mix change towards more profitable applications combined with the cost reduction efforts related to our operating profit resulted in KRW744 billion, which increased by 19% quarter on quarter, while revenue had dropped 16% quarter on quarter. Operating margin was 11%. EBITDA margin was 23%. Pretax profit was KRW624 billion and net profit was KRW476 billion. Moving on to Slide 5, looking at our financial position and ratios. At the end of first quarter, total asset was KRW22.4 trillion, liability KRW10.2 trillion, and equity KRW0.1 trillion. Cash and cash equivalents increased by KRW322 billion, resulting in KRW2.7 trillion. Inventory decreased to KRW2.6 trillion from KRW2.8 trillion. Liability to equity ratio, current ratio and net debt to equity ratio all improved sequentially, recording 84%, 129% and 10% each, maintaining a healthy situation. Moving on to Slide 6, looking at our cash flow. Cash at the beginning of first quarter was KRW2.4 trillion. Cash flow from operating activities resulted in cash inflow of KRW806 billion, while cash flow from investing activities resulted in an outflow of KRW321 billion. With the cash outflow from financing activities at KRW485 billion, our net cash -- net change in cash was an inflow of KRW322 billion, resulting in cash at the end of the quarter with KRW2.7 trillion. Moving on to Slide 7, I would like to go over our performance highlights. In first quarter, our shipment decreased by 3% quarter on quarter, resulting in 9.8 million square meters. Our blinded ASP per square meter decreased by 16% quarter on quarter due to mainly sales mix change. Revenue portion of tablets which has higher ASP per square meters dropped significantly while TV with lower ASP per square meter grew sequentially. Next slide will be more helpful to understand our sales mix change. Moving on to our product mix on Slide 8. Our TV business was 41% of our revenue, followed by mobile applications 25%, monitor 17%, and remaining 17% was combined notebook and tablet. For your reference, as the hybrid products between tablet and notebook appeared, it became quite vague to divide the boundary between those two products. Therefore, from this year on, we decided to disclose it as one category, merging notebook and tablet segments. Due to tablet demand decrease, the sales portion of notebook/tablet segment decreased 10 percent points quarter on quarter. Moving on to Slide 9 and looking at our capacity. Our producible capacity in first quarter decreased by 2% quarter on quarter to 12.3 million square meters. Despite of our capacity increase from China facility, additionally 30K ramp-up, we have witnessed capacity decrease in first quarter. That's mainly due to the capacity allocation for R&D use and preparation for new models, which was greater than the capacity increase. Next, we turn to our outlook section. Second quarter, we expect total area shipment in square meters to increase by low to mid-single-digit percentage due to seasonal demand increase and bigger size demand in TV. Especially due to the favorable larger size TV order trend, our TV unit shipment is likely to fall during second quarter, as we are shifting more to larger size production within our limited capacity. We are expecting second quarter capacity should be similar with slightly higher than first quarter. As for pricing, we expect the pricing to vary by application and regions, depending on each demand and supply situation. Overall we expect the pricing to show mild movements, but as mentioned, pricing trend will result differently for each panel-maker depending on its customer and product mix. Looking at the market environment, there are concerns about the macro uncertainties related to local currency depreciation in specific regions. But on the other hand, there is also an upside potential of size migration trend towards bigger screens to accelerate. Therefore, we are planning our business plan in a conservative manner, but we'll closely monitor the market situation and timely adjust our sales mix [ph] flexibly, depending on the market situation. Now we open up for Q&A session. We ask that you limit yourself to one question and one follow-up. Operator, may we have the first question please?
Operator: Now, Q&A session will begin. [Operator Instructions] And the first question will be provided by Nicolas Gaudois from UBS. Please go ahead, sir.
Nicolas Gaudois - UBS: Yes, good morning. First question is really on how you look at the TV panel market by segments, considering you own shipments on [inaudible] were somewhat better basically in Q1 and you have a positive [inaudible] sequentially for Q2. Do you see any segments where you think customers are on the higher side for panel inventories by size of panels entering versus second quarter? And my follow-up question somewhat relates to the TV panel market. You made comments I think yesterday on being somewhat cautious on how you'll allocate your mix in the second half of the year, with potential decline year over year in TV unit panel shipments on your side for H2, which kind of makes sense in the context of market uncertainty. Would that lead to you having reasonably limited area growth in H2 versus H1 of this year? Thank you.
Unidentified Company Representative: I would like to explain the overall TV panel market situation. I think that fourth quarter is comparatively very strong than before because it's -- last fourth quarter, last second half is what is very short of panel supply. That's why [inaudible] and then some extra volume Q1. So that's why the Q1 is very strong, especially in the 32-inch market, it's very strong. Price also is very strong. For now it's [inaudible] so I think that price is stable and supply/demand also very stable. That is [inaudible] the situation.
CH Kim: This is CH Kim for the marketing division. In our Company, the second half of the LCD TV panel production would be decreasing, both the quantity and area, compared to the first half, because there are limited capacity. As you know, there's part of the capacity change from [inaudible] already, and also size migration is a very important thing. UHD and larger size demand is very strong for us, so that we are -- you have to increase the larger size [inaudible]. So that means we have to decrease the 32-inch, something like that, small size one. That's why right now this industry, the capacity is increasing but size mix is changing, then we expect second half also the balance -- keep the balance.
Hee Yeon Kim: I will add more things on your question. Our second half shipment, although declined Y-o-Y basis and half-on-half basis [inaudible] meaningful volume scale. Why we are decreasing our shipment, that's not because of the market uncertainty or demand weakness, that's because of the size migration impact and capacity limitation as CH highlighted. Actually during the first quarter, as you already know, 32-inch production was increased. So among our total shipments, 32-inch portion was around mid-30%, but this kind of trend will decline significantly. In second half we are expecting 32-inch portion is slight over 20%. In this we have to support more bigger screens such as 43-inch or 50-inch. Actually our customers' demand for this bigger screen is increasingly growing. So as you already know, from one mother glass 8th gen [ph], A, we can get 18 cuts for 32-inch but we only get eight cuts or six cuts for 40-something inch and 50-something inch. To meet this kind of bigger screen demand, our production should decline naturally. That's the main reason second half our production declined. That's not because of the market uncertainty or demand weakness.
Nicolas Gaudois - UBS: Okay, that's great. Thank you for the color.
Operator: The second question will be asked by Rob Stone from Cowen & Co. Please go ahead, sir.
Rob Stone - Cowen & Co.: Good morning. Thanks for taking my question. There have been a couple of stories in the news the last couple of days about your plan for OLED unit production and possibly somewhat slower than expected sales, I guess particularly of the Full HD as opposed to UHD OLED TVs. Can you provide any color on your updated production targets for OLED TVs this year and how that's going so far?
Hee Yeon Kim: Actually our target number has not changed. This year our target number is 600,000 and next year 1.5 million units. But if our target change, that might be driven by mix change. Let's put it this way, last year we only have 55-inch Full HD, but now this year we expected -- we provided our product line from 55-inch to 65 and 77. So if there's a bigger screen demand from 65 or 77, it means, within the limited capacity, our production capability is likely to decline. But for now, current our assumption, we don't have any shipment change. But if there's a bigger screen demand, yes. Potentially our shipment is likely to decline. That's not because of the inventory or weak demand but because of the size migration impact.
Rob Stone - Cowen & Co.: Yes. It seems logical to me that the premium early adopter customers you're targeting for the OLED TVs which are particularly the 4K OLED TVs which are unique in the market, may be more heavily to the high end of the size range. My follow-up question is, do you still see a position in the market for a Full HD OLED TV or wouldn't it be the case that someone who wants the very best and latest technology, which is OLED of course, would also want to have a UHD TV as opposed to a full HD TV.
Hee Yeon Kim: I think let's put it this way [inaudible] we have Full HD and UHD simultaneously. There are market segmentations. Some customer want to get Full HD, some customers wants to ultra-high definition. But market trend will move toward ultra-high definition. So we believe OLED market trend will follow this kind of natural trend.
Rob Stone - Cowen & Co.: And can you finally make any comments about the yield for UHD OLED?
Hee Yeon Kim: Please understand we cannot mention about that. But anyway, it is in line with our basic assumption and our track record.
Rob Stone - Cowen & Co.: So you're taking yields into account of course with your unit assumption for the year, your units and capacity?
Hee Yeon Kim: Yes, definitely.
Rob Stone - Cowen & Co.: Great. Thank you very much.
Operator: The following question will be presented by S.C. Bae from Barclays. Please go ahead, sir.
S.C. Bae - Barclays: Hello?
Hee Yeon Kim: Yes.
S.C. Bae - Barclays: Okay. Thank you for taking my questions. I have some follow-up question on your previous comment on the TV production, the decline on units. I guess you already gave us a color, however, I want to ask you some more color. Can you provide some specific number of year-over-year growth of your TV production in second half of this year?
Hee Yeon Kim: Y-o-Y basis, it might be mid to high single range in terms of Y-o-Y basis. And half-on-half basis, it might be similar or higher.
S.C. Bae - Barclays: Okay, thank you. I have a follow-up question. My understanding is that, if you look at the total -- at the end-demand trend, annually, my understanding is that TV demand increased 30% to 35% half-on-half, and you're mentioning that your production of TV panel will shrink like mid high single digit half-on-half. Is that meaning that we see some sort of shortage situation in the second half of this year? In that case, can we expect some price stabilization or increase instead of the price decline?
Unidentified Company Representative: Yeah. Definitely [inaudible] shortage in our Company. But industry is a little bit different. So we are just [inaudible] to stay the price [inaudible].
Unidentified Company Representative: Okay. I would like to add some comment. Industry wise, some people worry about is the new [inaudible] China company in second half, but [inaudible] trying to increase [inaudible] improvement, that means is that they'd like to increase 55, 49, even 65. But we expect some difficulties for improving the model mix in new fabs [ph]. That means [inaudible] increase of [inaudible] for 32 inches. So as [inaudible] already explained, our Company will keep decreasing in the 32-inch in the second half. That means we'd like to increase in the larger size in the mix. So I think that is -- that means size by size and company by company supply/demand situation will be different. That's why we think the second half is some market will be stable, some -- we can have some chance to improve our business situation.
S.C. Bae - Barclays: Okay. Thank you very much.
Operator: The next question will be presented by Jerry Tsai from HSBC. Please go ahead, sir.
Jerry Tsai - HSBC: Hi. Thank you for taking my call, and congratulations on a very good quarter. Just I have questions about the margin. I think -- I understand how in the first quarter that your margin was able to expand on the back of the TV and IT revenue as a percentage of your sales. But then I just wonder, on individual segment basis, did the margin for those two segments also went up on Q-on-Q basis?
Hee Yeon Kim: In first quarter, yes, it's surprising, even though 16% revenue decline, in this kind of situation, our profit went up. That's mainly driven by our sales mix change, more profitable revenue increase. That's TV and IT segmentation. That's the main reason. And second reason is our cost reduction efforts. We reduced our costs at around KRW150 billion sequentially. This kind of efforts combination gave us improved margin trend. And in terms of profit hierarchy, TV monitor is the best, and then notebook. And small size, small and medium-size margin is below than average.
Jerry Tsai - HSBC: So, on a Q-on-Q basis for these individual segments, you didn't see much fluctuation in terms of margin. It's just more of that is the fact that just the revenue contribution from this higher margin product go up, that's pretty much it?
Hee Yeon Kim: In second quarter, our sales mix is expected to be similar.
Jerry Tsai - HSBC: Okay. Just as a quick follow-up, how -- it seems like you are -- you will be undergoing quite a bit of -- quite a bit of product mix change going forward. So, hence, the second half, the decline in terms of unit. How do we think about the impact on your margin due to this mix change?
Hee Yeon Kim: Although shipment order declined for the TV side, ASP and size will grow. We are expecting ASP per square meter should be better. So in this kind of situation, our margin should be protected.
Jerry Tsai - HSBC: Okay, I see. Thank you.
Operator: The following question will be presented by Claire Kyung Min, Daishin Securities. Please go ahead, sir.
Claire Kyung Min Kim - Daishin Securities: Thank you for letting me ask questions. I have three questions. One is -- the first one is about the quarterly depreciation, second is about UHD panels, and third one is about PC panels. Let me ask you the first question. Seems the depreciation and amortization of Q1 decreased by KRW55 billion compared to Q4, I expected an increase of depreciation because of China Guangzhou fab and really the TV panel fab. And can you explain why the depreciation of Q1 decreased? And I will ask you the second question after your answer.
Hee Yeon Kim: Yes, our depreciation expense declined in first quarter, and going forward our depreciation expenses should be similar every quarter, and annual depreciation expense will be similar as last year. In first quarter, although we have China facility and OLED facility, our depreciation expense has declined. That's because of the modules. We have less of module business irrespective of the cell [ph] facility, major module depreciation expense ended. That's the main reason.
Claire Kyung Min Kim - Daishin Securities: Okay. My second question is about the UH TV panel technology, which is called MPlus. And as far as I know, MPlus is one of the cost-saving technology by adding another white pixel on the existing red, green blue pixels, and improving luminance. And can you explain how the MPlus technology contribute cost savings during the cell-making [ph] process or module-making process?
Unidentified Company Representative: Actually the panel itself, there is no cost reduction. But [inaudible] TV set point of view, the luminance increasing means we can reduce the backlight [ph] cost. That's why we are -- actually we are developing this technology for not only our Company but also our customer or the consumer.
Claire Kyung Min Kim - Daishin Securities: Thank you for the answer. And here's my third question. This is about PC panel. When I compare PC panel business versus TV panel business, the demand driver of TV panel business is definitely larger-sized products. But when I see the PC panel business, the demand driver seems to be just one, which means high resolution. And if you look at the second half of this year, can you explain us any other huge demand driver for monitor or notebook panels?
Unidentified Company Representative: Well, as you know, there's no specific momentum to grow. So we hope in the second half -- second quarter, we expect some, you know, the best [ph] demand due to Win 10 launching. So there's no specific momentum. But as you know well, second half last year, our IT capacity was shrink. So we -- our shipment was -- our shipment was -- I mean our share was reduced. So we try to recover our market position. It means that our share is around 29% to 30% of the PC.
Unidentified Company Representative: Okay. I'd like to add some comments for IT market. So as you know well, the PC market itself is not growing, just very flat and a little bit of decrease. But as you know well, our Company is focused on high-end product. For example, IPS and high-resolution, as you already commented. So those market itself is growing. So we focus on IPS, high-resolution market. Another [inaudible] in PC industry, Windows 10 focus is hybrid PC, will grow in future. So that is another momentum in the PC market. So we'd like to focus on those and the high-end market. That is our strategy.
Hee Yeon Kim: And also as you already understand, we continue to increase the IPS monitor and IPS notebook as well. Thanks to this kind of IPS differentiated products, our margins innovation is differentiated as well. So, going forward, we continue to support this kind of IPS product in the market.
Claire Kyung Min Kim - Daishin Securities: Thank you.
Operator: The following question will be presented by Ben Lu from Moon Capital. Please go ahead, sir.
Ben Lu - Moon Capital Management: Hi, great. Thank you for the call and congrats on a very good quarter. First, you talked about how TV units will be down mid to high single digit year over year and half-on-half in the second half. Can you talk about what your TV area growth will be in second half year over year and half-on-half?
Hee Yeon Kim: Area growth should be flat -- should be flat.
Ben Lu - Moon Capital Management: Both year over year and half-on-half?
Hee Yeon Kim: In terms of year over year, yes, definitely it'll be increased because of our new facility from China. But half-on-half, it might be flattish. But within this kind of flattish capacity, our size migration give us limitation of production unit.
Ben Lu - Moon Capital Management: Okay, great. So, units will be down mid to high single digits half on half, but area growth will be flattish due to size migration.
Hee Yeon Kim: Yes, half-on-half basis.
Ben Lu - Moon Capital Management: Right, okay. Yeah, yeah. And then earlier, Hee Yeon, you talked about cost down was KRW150 billion Q-on-Q. Can you break that down by how much of that KRW150 billion was from better mix, meaning less tablet and more TV or IT? Or just some better pricing from your component suppliers?
Hee Yeon Kim: KRW150 billion means that's the cost reduction from the procurement side.
Ben Lu - Moon Capital Management: And can you -- that's a lot larger than what you normally get. Is this a one-time thing and can you talk about where you got most of the cost down from and why?
Hee Yeon Kim: Actually first quarter cost reduction was big, was bigger than the historical pattern. Going forward we try to reduce our cost at around the low single digit percentage.
Ben Lu - Moon Capital Management: Can you elaborate on where the cost came from? Was it polarizer, film, glass, or is it across everything?
Hee Yeon Kim: In every area, including our overhead costs.
Ben Lu - Moon Capital Management: Okay. I'm just kind of surprised why, given that your margins are near historical highs, kind of pricing very good, your component suppliers agreed to a bigger-than-usual price cut in Q1.
Hee Yeon Kim: As you already understand, usually first quarter, usually first quarter is seasonal weak, but it turned out to be better, thanks to the size migration and our efforts. Going forward, we will try to reduce our costs based on our market assumptions. But reality and market situation can be changeable every time. So it means we will be very flexible on our strategy.
Ben Lu - Moon Capital Management: Got it. Okay. And then my last question is, you know, it's very unusual to see your Q1 OP strong. Typically Q1 tends to be the low season and your profits gradually improve through the rest of the year. How should we think about seasonality through the rest of the year? I know Q2 should be down a little bit, but then should we expect Q3, Q4 to improve again? And what's the linearity through the rest of the year? Thank you.
Hee Yeon Kim: Actually going forward, our sales trend and profit generation trend is not that highly related with the seasonal patterns, because as we already highlight, our capacity remain flattish and our sales mix and product mix shifted towards more profitable segmentation. So that's why our first quarter number was quite different from the market or seasonal pattern. So, going forward, seasonality is not that key area for our earnings forecast.
Ben Lu - Moon Capital Management: Okay. So is it possible that Q2 could be flat Q-on-Q and then second half to be up again as well?
Hee Yeon Kim: Second quarter? Second half?
Ben Lu - Moon Capital Management: Yes. Second half going to be higher because of Q1 levels then?
Hee Yeon Kim: It's too early to mention about that. Anyway, we will try to be more focusing on our better profit portfolio management.
Ben Lu - Moon Capital Management: Great. Thank you so much and congrats again.
Operator: The next question will be asked by Alberto Moel from Bernstein Research. Please go ahead, sir.
Alberto Moel - Bernstein Research: Hi. Good morning. Thanks for taking my question. I have a couple of questions related. One, you mentioned that the product mix shift towards monitors and TVs has given you some margin expansion. I wonder if you've got some color, if you have some color on the margin expansion on TVs, how much of that was driven by a shift to 4K and how much was it from traditional HD panels also having good margins? And a related question is, on the KRW150 billion cost reduction, how much of that was driven by FX gains from weaker won or basically from local procurement or local cost structure in your cost reductions? So, kind of related, so, two questions out there. Thanks.
Hee Yeon Kim: It's very difficult to quantify. Anyway, in case of TV side, we have ultra-high definition TV and also MPlus, that's also cost-efficient solution for us. Ultra-high definition, that was -- first quarter that was around 10%. And then in case of IPS monitor, that's already over 40% among our total shipment. We will continue to increase this kind of IPS and ultra-high definition. But it's difficult to quantify which was allocated for our profit generation. But anyway, with this kind of differentiated products, it will give us a chance to improve our profit generation meaningfully. Sorry, our IPS monitor portion is already 70%. And in case of notebook, that's around 30%. We will continue to increase this kind of profit -- this kind of portion going forward.
Alberto Moel - Bernstein Research: Thank you. And on the -- so just to clarify, so, basically the UHD proportion is 10% of your shipments were UHD, and you can say that it did improve your margins but you can't quantify it, is that correct?
Hee Yeon Kim: Yes.
Alberto Moel - Bernstein Research: Okay. Thank you. And the second question was just on the FX impact on your cost structure, on your cost reduction, if you have any comment on that.
Hee Yeon Kim: FX impact for first quarter is not that big. As you already know, our FX -- average FX change won against U.S. dollar was just KRW10. It is very -- it's not that big. [Inaudible] we will have a total impact around KRW30b. So that's not a big part of our profit generation in first quarter.
Alberto Moel - Bernstein Research: Thank you. Thank you. That's helpful.
Operator: The next question will be asked by Andrew Abrams from SCMR. Please go ahead, sir.
Andrew Abrams - SCMR: Thank you, and thank you for taking my question. The product mix that you've kind of gotten in first quarter, how close do you think that's going to remain in those basic categories for the rest of the year? Where you were on the TV business is pretty consistent with where you've been, other than fourth quarter, but some of the other categories have changed a bit. How much variance do you think there'll be in those percentages going forward?
Hee Yeon Kim: Overall mix trend is -- should be similar. In case of mobile business, we are strong in second half. In case of TV business, it might be flattish half-on-half. So if we look at last year's sales mix trend, we expect our sales trend and mix trend should be similar than as last year, in terms of --
Andrew Abrams - SCMR: Got it. And --
Hee Yeon Kim: -- picture.
Andrew Abrams - SCMR: And can you give us some indication as to where you are on the OLED flexible business, you know, in terms of capacity, in terms of where you are in adding that capacity. And maybe on a general basis, where you are on adding capacity in the large panel OLED business.
Hee Yeon Kim: Your question is flexible OLED for large panels, TV or mobile side?
Andrew Abrams - SCMR: Flexible mobile and then the large panel separately.
Hee Yeon Kim: In case of large panels, large panel we now have 14K [inaudible] facility, but we also have a plan to increase at the end of this year. It might be 20K additionally. And then flexible OLED, now we have 40K based on gen -- 4.5 generation. Further expansion is under review. We have not finalized the --
Andrew Abrams - SCMR: You mean for the total for the year? I'm sorry, did you say you were at 40K for the flex line?
Hee Yeon Kim: No, 1-4-K.
Andrew Abrams - SCMR: One-four-K. All right. 14K, okay. Thank you. And so you haven't set a number that you think you'll be at for the flex line by the end of this year yet?
Hee Yeon Kim: Yes, we're under review.
Andrew Abrams - SCMR: Got it. Okay. Thank you very much.
Operator: The following question will be presented by Jerry Tsai from HSBC. Please go ahead, sir.
Jerry Tsai - HSBC: Okay. Thanks for taking my question again. I have a couple of follow-up regarding IPS technology. Can you give us a sense of the -- what's the adoption of the IPS in IT panel outside the U.S. major customer? And what is the premium over the TM panel right now and where do you think the premium can go in the coming year?
Unidentified Company Representative: Monitor case is that the IPS premium is not high, just $2 or $3. But notebook case, at the moment, the IPS premium is around $7 to $10. So we're going to reduce that premium in the future. So we'd like to change the -- change market into the IPS market.
Hee Yeon Kim: And also for the customer base, as I already highlighted in case of monitor that's already 70% and notebook is over 30%, it means we have very diversified customer portfolio for IT segmentation. Most of our customers have already IPS monitor and notebook. The penetration speed for monitor is much faster than notebook, but we also hope notebook penetration will follow the monitor trend.
Jerry Tsai - HSBC: So in terms of the upside for the entire market, you think there's a limited upside or you think there should be -- still be plenty of upside for the IPS in IT panel?
Hee Yeon Kim: We hope we have many upside for the IPS panel.
Jerry Tsai - HSBC: Okay. Okay, thank you. Could I ask one more question about the Oxide, because I want to know if -- are you preparing this just for the major strategic partner or you think there could be other customers will be adopting this kind of technology in the coming year?
Hee Yeon Kim: I cannot understand what you asked clearly. But in case of Oxide, we have two kinds of solutions for Oxide OLED and Oxide LCD. In these two kinds of solutions, we, in terms of technology and productions, are ready. We will -- I don't understand what you mean exactly.
Jerry Tsai - HSBC: Sure. Just wondering if it's for -- it's just, for the Oxide LCD, would it just be for the one-off strategic customer or you think there will be other customers be using these panels in the coming year?
Hee Yeon Kim: As I already highlighted, our technology is ready and production is also ready. And if a customer wants to get a kind of product technology, we will support all kind of customer.
Jerry Tsai - HSBC: Okay. Thank you.
Operator: The following question will be provided by Eric Smith [ph] from Dry Stone Capital [ph]. Please go ahead, sir.
Unidentified Participant: Good morning. Thank you for taking my question. With respect to OLED televisions, can you give a capacity utilization number for Q1? And I was also wondering the timing of any potential capacity expansion beyond the current M2 fab. Thank you.
Hee Yeon Kim: In terms of OLED side, the capacity utilization [inaudible] for this timing because it is ramping-up stage for the new facility.
Unidentified Participant: And any potential timing -- your CEO recently gave an interview with The Wall Street Journal talking about potential capacity expansion down the road. Can you talk about the timing of any decision around that?
Hee Yeon Kim: Potential capacity expansion, yes, we -- for now we are planning to add another 20K at the end of this year, on top of existing 14K. That's our expansion plan.
Unidentified Participant: Okay, thank you.
Operator: Currently there are no participants with question. [Operator Instructions]
Hee Yeon Kim: Operator, if there's no question, we would like to end the conference call now.
Operator: If there is no participants with questions, we will finish this conference call?
Hee Yeon Kim: Yes.
Operator: Yes. I would like to hear from you the wrapping-up remarks from you.
Hee Yeon Kim: Yes, okay. On behalf of LG Display, we thank you for participating in our Q1 earnings conference call. Should you have further questions, please contact myself and my colleagues. Thank you.